Operator: Welcome to the Powell Industries earnings conference call. [Operator Instructions] Please note this event is being recorded. I would like to turn the conference over to Ryan Coleman, Investor Relations. Thank you. You may begin.
Ryan Coleman: Thank you, and good morning, everyone. Thank you for joining us for Powell Industries conference call today to review fiscal year 2025 third quarter results. With me on the call are Brett Cope, Powell's Chairman and CEO; and Mike Metcalf, Powell's CFO. There will be a replay of today's call, and it will be available via webcast by going to the company's website, powellind.com, or a telephonic replay will be available until August 13. The information on how to access the replay was provided in yesterday's earnings release. Please note that information reported on this call speaks only as of today, August 6, 2025, and therefore, you are advised that any time-sensitive information may no longer be accurate at the time of replay listening or transcript reading. This conference call includes certain statements, including statements related to the company's expectations of its future operating results that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties and that actual results may differ materially from those projected in these forward-looking statements. These risks and uncertainties include, but are not limited to, competition and competitive pressures, sensitivity to general economic and industry conditions, international, political and economic risks, availability and price of raw materials and execution of business strategies. For more information, please refer to the company's filings with the Securities and Exchange Commission. With that, I'll now turn the call over to Brett.
Brett A. Cope: Thank you, Ryan, and good morning, everyone. Thank you for joining us today to review Powell's fiscal 2025 third quarter results. I will make a few comments and then turn the call over to Mike for more financial commentary before we take your questions. Powell delivered a strong third quarter, as operationally, the team continues to execute at a high level. Our gross profit dollars grew 8% despite roughly flat revenue, leading to a gross margin of 30.7%, which was 230 basis points higher than the prior year. We continued to benefit from favorable volume leverage, effective project execution and the benefit of project closeouts. Revenue was largely unchanged compared to the prior year as lower revenue levels from the oil and gas and petrochemical markets were mostly offset by strong growth in the electric utility, commercial and other industrial international markets. This was mainly a function of project timing as our business can experience lumpiness in our project completion and delivery schedules from time to time. On the bottom line, we recorded net income of $48 million in the quarter, or $3.96 per diluted share, which was 4% higher than the prior year and a record quarterly EPS for Powell. We saw meaningful acceleration in order activity highlighted by a book-to-bill ratio of 1.3x and sequential backlog growth of 7% to a total of $1.4 billion. The $362 million in new orders was well balanced across the end markets we serve and included multiple substantial awards that I'll detail in a moment. We remain very comfortable with the project schedules and overall composition of our order book. Our backlog is balanced across the market sectors we serve as well as across the Powell manufacturing footprint. The backlog possesses a healthy mix of both larger projects as well as what we would consider to be core smaller to medium-sized projects. I'd like to briefly highlight a few of the larger awards we received during the third quarter. In the oil and gas market, we booked two large orders for custom power control room modules, which have a combined total of over $80 million. Each of these projects will be deployed to separate offshore production locations, one in the Gulf of America and the second to be located offshore from the coast of Africa. We also booked a roughly $60 million order in the electric utility market for a new power generation facility. This project is the largest in Powell's history for this market sector and is a testament to our strategic efforts to diversify our business and establish ourselves as a trusted partner to our utility customers. Our growth in this market has been more than a decade in the making and the investment of our time, effort and capital continues to contribute meaningful returns. In fact, of the $362 million in new orders this past quarter, nearly half of the new awards are within the electric utility market. Lastly, we also booked a large traction order that totaled roughly $30 million. As we have shared over the last few years, we are committed to the traction market to take a highly selective approach in this market to ensure the alignment of the value we provide to our customers is well matched to our execution model. This particular project, which will be executed out of our Ohio facility is with a customer with whom we are building a long-term, mutually beneficial relationship. We also continue to execute against our strategy as we pursue Powell's profitable growth and long-term success. A few weeks ago, we announced an agreement to acquire Remsdaq Limited, a U.K.-based manufacturer of SCADA remote terminal units for electrical substation control and automation and generation, transmission and distribution. For decades at Powell, we have delivered electrical distribution solutions to the market with nearly all of our projects requiring some level of electrical automation. We typically purchase a large amount of automation hardware today as part of the overall solution that we deliver to our customers. Remsdaq Limited is an established name for electrical automation in the regulated utility market across the U.K. The acquisition of Remsdaq's people and technology immediately strengthens our electrical automation platform, enhancing our ability to meet an underserved demand with a solution that's accretive to Powell. In addition to the existing utility market that Remsdaq currently serves, the technology road map that the Remsdaq team has been working towards to support the next generation of SCADA remote terminal units for their existing markets, provides a clear opportunity to leverage this next-generation platform into our North American utility market. Today, at Powell, we are able to influence the hardware side of our electrical automation solutions roughly 30% of the time. With the addition of Remsdaq, we will now be able to offer a 100% Powell-built solution to the utility market. And as the next generation of Remsdaq solution is released to the market, we'll look to qualify, offer and implement Powell solutions to all of the markets served by Powell. In addition to the electrical automation pillar, our latest product initiatives and development activity are helping to build commercial momentum as we pursue further diversification and expansion of our product portfolio. As we discussed last quarter, we launched a few new and innovative products, including a grounding switch for our oil and gas market, and a power control aisle, a compact substation that we are currently building in our recently expanded products factory in Houston as well as our first design of a low- voltage switchgear product targeted for inside the data center and associated commercial market. We believe that these new products will span multiple markets and serve as an important validation of our elevated R&D spend in recent years and the IP that we have developed. Most importantly, it furthers our aim of advancing our product-centric strategy to improve the overall future mix of product versus project-based revenues. Looking ahead, the outlook for each of our end markets remains positive. The fundamentals for the oil and gas market support our expectation for continued order strength, specific to the fundamentals of the U.S. natural gas market. The pipeline of LNG projects that we are tracking continues to support our expectation for continued momentum for both greenfield and brownfield activities as we continue to experience increased LNG activity as the moratorium on permitting activity was lifted earlier this year. Activity within our Commercial and Other Industrial market also remains healthy and includes broad and increased activity within the data center market. Multiple data points over the last few months confirm the ongoing momentum in data center capacity growth, and we continue to see growing opportunities for Powell as we seek to further penetrate this market with new products. Lastly, the outlook for our electric utility market remains very strong and balanced across the customers and geographies we serve in this market. Overall, we remain very encouraged by the strong demand across the markets we serve and confident in our ability to deliver value for our customers and stakeholders alike. I'll now turn the call over to Mike to walk through our third quarter financials in more detail.
Michael W. Metcalf: Thank you, Brett, and good morning, everyone. In the third quarter of fiscal 2025, we reported total revenue of $286 million compared to $288 million or roughly flat versus the same period in fiscal 2024. New orders booked in the third fiscal quarter of 2025 were $362 million, which was 2% higher than the same period 1 year ago. During the current quarter, we secured two mega projects with a combined value exceeding $100 million. One of these represents the largest electric utility project in Powell's history while the other marks our first major offshore oil and gas substation award in several years. As a result of this significant utility project win, our Electric Utility backlog now accounts for 32% of the company's total backlog. In addition, we also booked a couple of other notable projects in the quarter, one being a large domestic traction order. This is the first substantial traction project we've added to the order book in several quarters, reflecting our disciplined and selective approach to this end market as we've previously communicated. Finally, another notable win came from our international markets where we secured a substantial offshore oil and gas project to be executed by our United Kingdom division, further reinforcing the strength of our global capabilities. Overall, these project wins are a testament to the activity level and dynamic nature across all the end markets that we participate in. This strong order activity during the quarter, combined with sustained commercial momentum across most of our other end markets resulted in a book-to-bill ratio of 1.3x and a reported backlog of $1.4 billion at the end of the third fiscal quarter, $68 million higher versus 1 year ago and $90 million higher sequentially. Compared to the third quarter of fiscal 2024, domestic revenues decreased by 8% to $225 million on project timing across the U.S. divisions, while international revenues were 39% higher driven by increased project volume across our Canadian operations as well as an increase in activity in the Middle East and Africa. In total, international revenues were up by $17 million to $62 million in the third fiscal quarter. From a market sector perspective versus the third quarter of fiscal 2024, revenues from our Electric Utility market increased by 31%, while revenues from the Commercial and Other Industrial market and the traction market increased by 18% and 61%, respectively, albeit the traction market starting from a small revenue base. Across our core industrial end markets, the petrochemical and the oil and gas markets were lower by 36% and 8%, respectively, versus the same period 1 year ago on a challenging prior year comparisons as we near completion on the large petrochemical and LNG mega projects that were booked in fiscal 2023. Gross profit increased by $6 million to $88 million in the third fiscal quarter versus the same period 1 year ago. Gross profit as a percentage of revenue increased by 230 basis points to 30.7% of revenues versus the same period a year ago and was 80 basis points higher sequentially. This performance was driven in large part by the strong margin rates exiting the backlog and the sustained volume leverage across the business in addition to the continued benefit of strong project execution and the resulting favorable project closeouts. During the quarter, we had a small number of project cancellations resulting from customer scheduling changes and other miscellaneous unusual items that contributed roughly 85 basis points to the fiscal third quarter margin rate. Overall, we're very pleased with the company's continued operational performance during the third fiscal quarter. Margins have remained resilient and are benefiting from more short-cycle product mix in addition to the market dynamics that had generated strong volume leverage and have supported modest pricing accretion, effectively offsetting any inflationary impacts across the business. Considering these variables, in addition to the quality of the backlog, we anticipate that as we close fiscal 2025 and establish our framework for fiscal 2026, margin levels should approximate the current year-to-date margin rate, excluding any unusual items and project closeout gains which together comprise roughly 150 basis points on a year-to-date basis. Selling, general and administrative expenses were $25 million in the current period, higher by $3 million, driven by an increased level of compensation expenses across the business as well as acquisition-related expenses in the period. SG&A as a percentage of revenue increased 120 basis points to 8.8% in the current fiscal quarter. In the third quarter of fiscal 2025, we reported net income of $48.2 million, generating $3.96 per diluted share compared to a net income of $46.2 million or $3.79 per diluted share in the third quarter of fiscal 2024. During the third quarter of fiscal 2025, we generated $47 million of operating cash flow on higher earnings generated in the quarter. Investments in property, plant and equipment in the fiscal third quarter totaled $5.1 million, driven by capital spending related to the completion of the facility expansion at our electrical products facility in Houston as well as new production equipment across our manufacturing footprint. At June 30, 2025, we had cash and short-term investments of $433 million compared to $358 million at September 30, 2024, and $389 million at March 31, 2025. The company does not hold any debt. In closing, we are very pleased with our operational and financial performance through the first 9 months of fiscal 2025. As we approach fiscal year-end, we remain confident in the company's strategic positioning and the momentum behind our growth initiatives. Looking ahead, the strength and consistency of commercial activity across all of our end markets reinforces the broadening of our business strategies and provide a solid foundation as we plan for fiscal 2026. Operationally, we are executing effectively and are well positioned to sustain our year-to-date financial performance through the fourth quarter of fiscal 2025 and into the next fiscal year. At this point, we'll be happy to answer your questions.
Operator: [Operator Instructions] The first question comes from John Franzreb from Sidoti & Company.
John Edward Franzreb: Congratulations on another great quarter. Brett, I'd like to start with really the stellar bookings profile in the quarter. Some really large projects you were able to bring across the finish line. I'm curious what the opportunity pipeline look like now? How many large projects that you're bidding on? Maybe give us some context of what we're seeing out there?
Brett A. Cope: John, I appreciate the question. Really good quarter. We highlighted in the prepared comments the utility market specifically. As you know, this has been a methodic strategic strategy for us to go build our home markets in the U.S. and Canada. So the big power generation award certainly is -- was an exciting win. It was very competitive. And -- but the broad-based participation from the other -- the broader market, also very solid in the quarter. As we look forward, again, in the oil and gas segment, certainly, the fundamentals of gas, as I've noted last couple of quarters continues to be very active. Timing is little bit more of a challenge this time around, but the amount of activity is very broad and significant that's out there. And so that's something we track, working very hard across the teams. I think the utility market continues to be very solid for us looking forward, given all the various drivers of electrification today in U.S., Canada and the U.K. And commercial and other markets continues to be robust for us. It's from an absolute dollars number smaller, but percentage-wise growing, still opportunistic. I would say that we're still a little bit more reacting than driving our future there. But it is very broad-based, and it is not showing any signs of relenting at least in terms of where we're involved.
John Edward Franzreb: That's great. I'm curious, what your visibility in the revenue profile look like? How far does it extend compared to, I don't know, a year or 2 ago?
Michael W. Metcalf: John, this is Mike. Yes, our backlog is very transparent, and we're booking out into late fiscal '27 at this stage and big projects would carry over probably into '28. There's a 2- to 3-year lead time for these large projects. So we have very good visibility. Our Q will come out later today. You'll see that roughly 65% of our backlog is slated to convert to revenue over the next 12 months. So yes, that's an area where we have a lot of visibility.
John Edward Franzreb: Excellent. And I'm just curious about the gross margin. You outlined three things, but I guess the project closeouts is the one I want to focus on. How much did that contribute to the improvement in gross margin year-over-year?
Michael W. Metcalf: Yes. Let me refer to the year-to-date margins, John. Through the first 9 months of fiscal 2025, we've recorded 28.6% gross profit as it relates to revenues. That's 250 basis points year-over-year favorable. So of that 250 bps, there's roughly 100 of that, that is attributable to just productivity, organic margin growth through increased throughput, volume leverage, some modest price accretion that's offsetting some of the inflationary pressures in the business. And the remaining 150 bps is really project closeouts. The majority is project closeouts, then you have a small element, call it, probably 30 of that is due to unusual items. So roughly 115, 120 basis points on a year-to-date basis for project closeout gains that we've seen.
John Edward Franzreb: Okay. And one last question, I'll get back into queue. The SG&A took a noticeable tick up in the quarter. Was something -- anything unusual there we should be aware of?
Michael W. Metcalf: Nothing unusual per se. We did have higher variable compensation expenses hit the quarter, and we also had some acquisition-related expenses that hit the quarter from the Remsdaq acquisition.
Operator: The next question comes from Chip Moore from ROTH.
Alfred Shopland Moore: I wanted to ask, I guess, first on Electric Utility, very impressive results there again. Just you've talked about this for a while, Brett, but how you've sort of gone after that market and become a trusted partner, just maybe expand on the visibility you're seeing there. Do you think that momentum should continue? And is that a function of becoming a more trusted partner? Is it load growth? What's the real driver there?
Brett A. Cope: A little bit of both. I think that if you go back to the original strategy when we started years ago, we really focused on the distribution side of T&D and going after those closed solutions in the yard, moving clients into a more reliable, long-term, better investment of their capital into what we build. And as this generation wave sort of crept up on everybody post pandemic, it's a combination of being there with the end client, the utility and also the engineering partners that are in this space. And so a little bit of mix of both. And so we -- I'm very curious when I meet -- when I get the chance to talk with the end client as to what is the driver? Is it just the typical sort of build-out population and industrial support and how much of that is the other big driver today, which a lot of people talk about the data centers. There's clearly that element moving into the demand piece on generation. And I would say that was absolutely represented this past quarter. When we look out, it's pretty -- I sit every week with the team and listen in, and I'd say it's -- there's a lot of opportunity out there still in the utility market. We're pretty excited about this sector for the future.
Alfred Shopland Moore: Great. And maybe a follow-up on Remsdaq, specifically, you talked about next-gen SCADA units and potential there to leverage that into North America. Maybe just expand on that. And I believe this is nicely margin accretive potential business, how you're thinking about that? And just the acquisition itself, how it came about and -- yes.
Brett A. Cope: So we've been looking for a while. We -- when we put out our strategy a couple of years ago on the investor deck side and highlighted electrical automation, this is an area we do think we can move the needle on. We see it every project, some degree, sometimes it's smaller, sometimes it's quite significant as a percentage of the overall project. The RTU we identified is a key building block, and we went around the world and looked at the markets, found a great company in Remsdaq, three owners today, one of the owners is the MD. Family-like environment, strong, 30-plus year profile in the regulated utility market with an extremely reliable product from a performance standpoint, which, again, we love and fits right in the Powell. And as we got to know them and they know us and talked about where each group aspires to go, we learned about all their know-how going into their next-generation product, which, of course, was built to support their end markets. And we started understanding it better, how they were going about building this next generation, and we look across the broader RTU market globally, not just our markets, but globally, it has a really impressive potential. So for us, it really became clear this was something that made a lot of sense. And so we feel very excited to bring it on to not just for the U.K. market, which is accretive to our utility sector there. But I feel pretty good we'll be able to port it over pretty quickly here to the utility market and then we'll work to get it in the balance of the markets through taking it through and getting into the ABL, doing your typical awareness meetings and really growing this throughout all Powell. I feel pretty positive about that.
Alfred Shopland Moore: Great. Very helpful. Maybe just one last one, if I could sneak it in. On gross margins, Mike, you talked about that already. I think you also called out short-cycle business maybe increasing here. Just maybe update us on what you're seeing there and how we should think about that going forward?
Michael W. Metcalf: Yes, sure. Yes. We track our book-to-bill cadence every quarter. And if you look back you go back 18, 24 months, and we've communicated this on prior calls. It ran $30 million to $40 million a quarter. That's ticked up through productivity, throughput, volume and the like, and that's running today in the $50-ish million per quarter cadence. So we are seeing some good throughput uptick in that book-to-bill cadence.
Operator: The next question comes from Jon Braatz from Kansas City Capital.
Jonathan Paul Braatz:
Kansas City Capital Associates: Brett, you saw a couple of new orders in the offshore oil and gas production area. And obviously, that was a large piece of your business years ago. Are you seeing something different in that market that suggests that these orders are more than just sort of one- off? Is the market changing?
Brett A. Cope: Well, I think when it comes to the offshore market, the theme over the last couple of decades has been how capital-intensive it has been. It's a very expensive area for our clients to build in. I do -- I wouldn't say there's a change, Jon, but I'd say the -- some of the work that's going on in the development side, these are good fields to at least from what I understand, I'm not an expert on the geology of these fields. But from what I've read to understand from the client and how they're pulling the trigger on FID, the -- has read this morning about Darren Woods at Exxon, talking about the strong demand outlook on oil for a while on his crystal ball. So I do think that there's some of that globally speaking, that's underpinning these decisions. And so for Powell and our capability, it is exciting to see it come back. We're -- we have a lot of know-how in the company on these offshore modules. They are very difficult, technically speaking, not just electrically speaking, but mechanically, a lot of marine codes and a lot can really get a ride if you don't do it right. So for us, super exciting to have not just one, but two hit in the quarter. And so both here in Houston and the U.K. We've actually put the teams together from a project delivery standpoint to really focus and make sure we deliver for our clients in these difficult projects.
Jonathan Paul Braatz:
Kansas City Capital Associates: Okay. They are -- they were relatively small projects compared to maybe prior ones you did years ago. Am I correct in that? I mean some of them were like $100 million, weren't they?
Brett A. Cope: No, no. When you look at an offshore module, I arrived Powell 2011 and 30, 40 50 would be a big one back in '11, '12, '15. One of these is right up that alley. It's a significant project. And the other one is a little -- not quite half, but also pretty significant. Different -- each one has a different construction methodology for how it's going to go into the offshore environment. There's lots of mechanical technology for how they develop their fields. But at the electrical distribution piece, there's a lot of commonality in terms of how we build that mechanical structure and the electrical solution inside to meet all the codes. And these are pretty -- I'd call them both pretty significant, both very strategic for us with great long-term clients, and it was, again, both very competitive. But again, I think the strength of Powell really and our capability and depth of knowledge really help win the day on these.
Jonathan Paul Braatz:
Kansas City Capital Associates: Okay. And Mike, you made some comments about gross margins for the full year and sort of into 2026. And for the first 9 months, you're at 28.6%, but maybe -- could you clarify sort of what you were suggesting because the margins in the third quarter were at 30.7%. Were you trying to suggest that we're going to be in that 30% area as opposed to 27%, 28%? Can you help us out a little bit about that?
Michael W. Metcalf: Yes. Sure. I'll try to clarify. As you know, in this long-cycle project business, it's best to look at whether it's trailing 12 months or at this point fiscal year, a year-to-date number or 9 months through the year. So you correctly stated, year-to-date, our margins are 28.6%, and we had roughly 150 basis points of project closeout gains and onetime unusual items in that number. And once you strip that out, that should approximate the as-sold margins that we see in our $1.4 billion backlog.
Jonathan Paul Braatz:
Kansas City Capital Associates: Okay. Okay. That's good. Okay. And then finally, you talked a little bit about pricing. You're seeing some pricing. And maybe some of that comes from the shorter cycle business where maybe the pricing is a little bit better. But on net, could you see even better pricing going forward? Obviously, your markets are strong. Are you able to take a little bit more?
Brett A. Cope: Jon, let me jump in here first and Mike can jump in behind me. I think there's a couple of elements of pricing. Definitely, the short cycle, some of the things we're trying to do within the strategy do carry better price than the aggregate backlog margin, for sure, albeit smaller absolute dollars, that is part of the strategy. All three of those drive accretive margin. In the project side, the large revenue driver that's going to drive Powell for a while. I've noted the last couple of quarters, the pricing is not improving. It's good. But I'd say there are more, I wouldn't say challenges, but we're attuned and watching out really closely to all the various dynamics that every competitive pursuit and what's going on, every makeup of the job, what is in the job in terms of switchgear and solutions that Powell contribute versus the mechanical part of the solution. So it's -- it would be difficult for me to say we could take more there. I think if anything, it's -- it could change. It depends what happens in the market in the next 24 months. But right now, I don't see that, but I think the strategies that we're chasing and bringing to market do provide the upside to Powell as we build successful outcomes on those.
Michael W. Metcalf: And Jon, just to clarify my comment in my prepared comments. Remember, what we're seeing exit the backlog today was booked a year plus ago. So at that point in time, we were getting some accretive pricing but also offsetting some inflation with that. So yes, we are -- retrospectively, we were getting priced to Brett's point, prospectively, it's a little softer.
Jonathan Paul Braatz:
Kansas City Capital Associates: Okay. Okay. And one final question, Brett, on your $60 million Electric Utility award. Was that a combined cycle generating facility?
Brett A. Cope: Jon, a lot of these have NDAs. So it is just a big power generation facility. I will tell you that it is -- it's in excess of 1 gig output and there is definitely an element of supporting the commercial markets as part of that when I got a chance to talk to the client.
Operator: You have a follow-up question. It's from the line of Chip Moore with ROTH.
Alfred Shopland Moore: Just a quick one on capacity expansion. You've talked about that, I guess, in a few different areas. Just an update there really around some of the newer products or what you're thinking?
Brett A. Cope: Yes. Chip, it's Brett. I'll jump in here. I appreciate the question. Yes, the -- so the facility that was brought online in April, no real change from last quarter. We do have revenue in the factory today, there are projects laid down and the team are building out that facility methodically and incrementally. We did note last quarter, and so I'll take the opportunity with the question just to highlight, we continue to work in offshore expansion. I brought that up that, that might be a possibility based on the future outlook of the market. We continue to progress that. Our internal teams have put together a really nice a couple of options. We're not quite at the point being able to announce it, but I would say we are doing a little bit of prework out there. We spent a little bit of money to move some dirt just in anticipation, so we don't lose anything on timing because if we do decide to spend the capital, we feel the return is warranted. And we didn't want to lose a time element of that as we look out in the next 24, 36 months on what could be coming should we be successful in the market. So that would be an area we are looking for a potential expansion. And then the other area, I wouldn't call it an expansion, but we've talked in the calls before about on the big substations side of things, how does Powell replicate our model without maybe a large investment in fixed assets, brick-and-mortar to build large substations. So we have in the past looked at models, and we are doing some of that again. We've done one 3, 4 years ago where we took all of our know-how and did the engineering and the fabrication and manufacturing of a majority of the project, but then outsourced some of that. And so that's an area that we're looking at again today to, again, augment the core part of Powell. So each of those would be revenue accretive in the future.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Brett Cope, CEO, for closing comments.
Brett A. Cope: Thank you, Steve. Our third quarter delivered solid performance. Powell's operational teams are the absolute best in the industry. Our engineering, manufacturing and project delivery teams set the standard for delivering critical electrical distribution solutions to the market, meeting our customers' delivery time lines and budgets. I would like to welcome the employees, customers and supplier partners of Remsdaq Limited to Powell. We are very excited to grow the electrical automation business across all of Powell's end markets, and Remsdaq will play an important role in meeting our aspirations. Thank you to everyone for joining us this morning. We appreciate your continued interest and support and look forward to updating everyone next quarter.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.